Presentation:
Operator: Welcome to the DSV Interim Financial Report Third Quarter 2022. For the first part of this call, all participants will be in listen-only mode. And afterwards there will be a question-and-answer session. Today, I am pleased to present CEO, Jens Bjorn Andersen; COO, Jens Lund; and CFO, Michael Ebbe. Speakers, please begin.
Jens Bjorn Andersen: Thank you very much. Welcome to the Q3 2022 quarterly result update here from Hedehusene, Denmark. We've been once again looking forward to speaking to you, and we will go straight into the presentation. On page number two, please take a look at the forward-looking statements. And by the way, this is a sunrise and not sunset you see on this picture, just for the sake of good order. And then on page number three, the agenda for this morning highlights, business segments, financial review and then upgraded outlook for 2022, and then Q&A. I will take the two first points, and Michael will go through the remaining points. I can see on the very long lists of questions that have already registered that we will be busy this morning. So if I could please ask you to limit your very good questions to two per question or per analyst, please do so, that would be beneficial, I think, for the efficiency this morning. With that said, we will go to page number four, where you can see the overview of the financial performance. We're very pleased about what we see in Q3. The quarter was actually slightly better than we had then expected when we went into the quarter. Hence, we have also upgraded the full year guidance a little bit this morning. Please also bear in mind that Q3 is the first quarter where we have GIL in the comparison numbers as we did do the closing on the 16th of August one year ago. The reason for growth rates in the quarter to be slightly below what they have been. But still, very solid 30% growth in GP and [37%] (ph) growth in the EBIT. So what is maybe also important to notice, which we are also very pleased about and that I'm sure Michael will touch upon is the fact that the cash flow has continued to be very strong throughout the quarter, which has led us to announce not one, but two share buyback programs this morning, and you will hear more about that later on. With that said, we go to page five, Air & Sea. I can only repeat what I've said before. Strong performance from the division. In a declining environment, we've often talked about a positive trend throughout the quarter. It's actually the opposite in this quarter. We have seen a small deterioration in terms of volume, I'll come back to that during the quarter, but still very, very strong. The division can be proud about the results and EBIT of 5.5%, almost DKK1 billion, which is a growth of over 40%. So very strong and still super, super healthy and fantastic, both conversion ratio and also operating EBIT margin for the division. So once again, well done to everybody in the division. Next page is the development of air freight. We have seen demand being weaker than what we have seen historically. But it has actually been compensated by strong yields in the quarter. If you exclude the M&A effects, we did see a decline in the DSV volumes of approximately 10%. And we estimate that is between 1 and 3 percentage points better than the market. So markets are retracting. So overall, we are pleased about the fact that we have taken market share in the quarter and that we have maintained the very high yields. With that said, we go to page seven, which talks about sea freight, slightly different development, not as negative in terms of the market estimates. We believe the markets are down in the quarter, somewhere between 4% and 6%. Number of TEUs in DSV is down 4%. So also here, we feel that we are in line with market or growing a little bit faster than the market. Here, we have seen a small, small, but still a decline in yields. And this is not necessarily unexpected. We also do anticipate weaker demand, and I'm sure a lot of you have questions about that going into Q4. But we're pleased about the development, not the least, the development in -- development of the volumes for the division. So we can tick that box also. Road freight, road division, I think, once again, very, very strong also. Actually interesting to see that the Road division have not seen the same degree of deterioration during the quarter. They actually ended off high, September being one of the best months ever in the history of DSV Road. So that's very, very positive. It tells us that we are actually taking market share and that we are offsetting a potential or possible decline in the market. When you look at the margins, you can kind of make the comment that normally we don't line like a flatliners. But in this case, it's actually quite nice, very, very stable when it comes to both the gross margin conversion ratio and also the operating margin stabilizing at industry-leading levels. So we would also be -- will also be fair to assume that the decline in B2C and retail shipments will continue going into Q4. But with the new focus on our Road Way Forward project and the strengthened capabilities that the road guys and girls have could lead us to continue to see a pretty stable and strong development. So also to everybody in road, congratulations and really, really, yes, well done. Then we go to page number nine, the last page before I hand over to Michael, contract logistics or solutions. Also a very strong. Once again, they are delivering result in absolute terms, which are higher than road and also a growth in earnings of over 20%, where gross margins are coming down, but conversion ratios dipping a little bit. We have talked about it on numerous of occasions, but the solutions we can see bigger variations between the quarters than maybe what we see in the two other divisions as we talk about larger operations and contracts. So this is maybe the reason that the conversion ratio on operating margin is a little bit down. But across the board, we are very optimistic about our solutions. They have a little bit the same development as we saw on road. We have more activity levels almost every single week in the quarter compared to a year ago. Also, when it comes to outbound shipments out of our warehouses not only the inbound. So it's not necessarily only a sign that our customers are filling up warehouses that we are busy. We're actually seeing more going out of our warehouses, which is, for us a very positive sign. Still, we are very pleased with the contribution from Agility GIL. And overall, the division is well run, good management, good staff also who have contributed to this strong result in the quarter also. So overall, we're pleased about the developments in all of the three divisions, and they have led to the P&L result that Michael will now talk a little bit about. So over to you, Michael.
Michael Ebbe: Thank you. And then if we flip to page number 10, with the P&L, a couple of touch points from my side on that one. It's -- we have had a solid growth in GP, as you can see from this slide here. As Jens Bjorn mentioned in the beginning, the comparative figures are beginning to be impacted by the GIL numbers. So that will be a little bit lower going forward as well. The cost base this quarter is, we have had an extraordinary provision for some bonuses that we have made this quarter, which is impacting the quarterly cost base. It's not a significant amount for the nine-month result. But in the quarter, it's notable in some of the divisions. Special items, DKK1.1 billion for the nine months period. That also concludes our integration of GIL for the special items. So you can expect for the GIL integration, there will be no further special items for that one as well. Then if you look at the financial items, I think we've talked about it some few times that during restructuring and integration, we do have some intercompany intergroup loans that are turning different ways. And this time, we had some headwind in the FX rates here. So we have had a gain this quarter on that post. Our tax rate, we have again, during integration, it's a little bit difficult to kind of foresee how that will turn out. So we have had a higher tax rate this quarter and expect that we will be around 24% for the full year. Our EPS is again very well, almost 79% growth. So that's also impressive and a key figure for that one. If we then skip to next page, page 11, with the cash flow. Again, a couple of touch points. It's good to see the very, very strong cash flow we have, which nearly quadrupled compared to the same period last year. It's very well to see that. Also nice to see that now we have stabilized the net working capital, actually has decreased a little bit. It's not a big number here. But if you look at in actual numbers, it has decreased and also impacted a little bit by the FX. It's still a high number. Obviously, we would like to reduce it further, but some of it will come with the declining freight ways as well. Our gearing ratio continues to be at a low level, 0.9 times, and that's also why we have initiated a couple of share buybacks, so that I will come back to on next pages. Our duration of long-term bonds are also at a very satisfactory level. And the majority of the debt is in fixed rates during this -- all the bonds that we issued the last year. Next page, page 12, it's about the share buyback. We have done something that we have not tried before at this time. We will actually launch two programs. We start by launching DKK1 billion of DKK3 billion, which is started today. It's a program which is run outside safe harbor regulation. There are still a lot of regulations that we need to adhere to. So -- but that is due to the fact that we would like to catch up a little bit of what we did not achieve to buy back for the program that ran out yesterday. And then when that is done, after a small three weeks, then we will launch an additional one, which is a traditional share buyback under our safe harbor program. Yesterday, we had 12 million shares -- of own shares, approximately 5%. So we are a large investor in our own company at the time being. That with the new announcement means that we will expect that we will have bought back shares for approximately DKK21 billion this year. As I remember, last year was approximately DKK19 billion. So it's a significant number of shares we've bought back the last couple of years. We will most likely acquire up to 8% to 9% of our total share with this announced buybacks. Then for the next slide, slide 13, the upgraded outlook. We have adjusted our outlook. We have increased the top of our range a little bit. And then we have eliminated the bottom of our ranges, given that we only have three months left of the year. So our new upgraded outlook will be between DKK24.5 billion to DKK25.5 billion, and then we expect that the tax rate end of '22 will be around 24%. It is based on the strong performance that we have seen in the first nine months of '22, obviously, and then also the expectations of a continued softer market and a slowdown in the global economy for the remaining part of the year. And this is our best assumptions and what we have ended out with you. It's clear that there are lots of uncertainty, but I assume that there will come lots of questions about that later on. I think that was a run through of the P&L, balance sheet and upgrade and cash flow as well. So I think that's it from my side. So we can go to the questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Cristian Nedelcu of UBS. Please go ahead. Your line is open.
Cristian Nedelcu: Hi. Thank you very much. Two questions, please. In air and sea your direct cost per unit are around 20% higher than in Q3 2019, and they have been rising in Q3 versus Q2, even after we exclude the retention bonus. I guess the question here is, what is the new normalized level of direct cost per unit in air and sea? And why haven't you pulled the trigger on cost cutting so far? And the second one, if I may, at the Capital Markets Day in air and sea, you gave us the sort of DKK8,000, DKK4,000 targets of GP per unit. Do you still believe this is a new normal or the fast decline in rates brings downside risk to that? Thank you.
Jens Lund: I can speak a little bit, at least to the last point, then Michael, maybe or Jens want to touch upon the first one. So we are -- we are still guiding for that number as we did talk about at the CMD about DKK4,000 and DKK8,000. We have seen nothing that changes our minds on that. When it comes to not pulling the trigger on the cost base, we are constantly kind of trying to get an overview of following the situation, and we will slowly see probably a deterioration or decline in the cost base also. There are certain areas where we are not rehiring staff -- and there are also other areas where maybe some projects which will not kick off and other cost savings, which you will probably be able to see in the months to come. We have -- we get this question sometimes if we will do something to protect the bottom line. I always say take comfort in the past, look at what we have done on previous occasions and then rest assured that we will do what needs to be done to also protect the EBIT as best as we can. And Michael, I don't know if you --
Michael Ebbe: Yes, I think there's a couple of things that I would like to address on that one. If you compare to prior levels, I think one of the things that you need to bear in mind is, obviously, inflation. We also have the FX rates that have an impact. And then also bear in mind that during the pandemic and COVID and then congestion, we had a lower productivity as to what we would normally see going forward.
Alex Irving: Thank you very much.
Operator: Thank you. Our next question comes from the line of Alex Irving at Bernstein. Please go ahead. Your line is open.
Alex Irving: Hi. Good morning, gentlemen. Two for me, please. First is on volume [Technical Difficulty] on the ocean, but belly space continuing to return to international and some stock comp this year. But at the same time, clearly uncertainty over global economic development. How are you thinking about the range of volume outcomes and market growth into '23, please? My second question is on the DKK4,000 to DKK8,000 that you just talked about, and I want to pick up on a comment from Michael that the FX matters and inflation matters. But since we set out those targets at the Capital Markets Day, the dollar has strengthened and inflation has accelerated. Does that -- should we be taking that into consideration when we think about the DKK4,000, DKK8,000, should those numbers actually be going higher? Thank you.
Jens Bjorn Andersen: If those numbers would be higher, we would be super happy and pleased about that. We stick to the numbers we have put out -- if there would be slight upward changes to those, we simply don't know. In general, we can say the unpredictability has not deteriorated, so to say. I mean, it's still very, very difficult to predict what's going to happen, and that leads me to the next -- or to the first of your questions. We have not given guidance for '23 yet. We will do that when we announce the annual results of '22. We have indicated a little bit about Q4 that it's not unlikely that we will see a volume kind of deteriorating somewhere, both for air freight and sea freight could be somewhere between 10% and 15%. So of course, not a super growth environment to be in, but as such, nothing that really represents something of great seriousness, so to say, for DSV.
Operator: Thank you. Our next question comes from the line of Michael Rasmussen at Danske Bank. Please go ahead. Your line is open.
Michael Rasmussen: Yeah. Thank you very much. I think the first one will stay on the same course here. Now Jens, you talked about, I think, business-to-business -- sorry, business to consumer and retail, you've already seen some props, as I understood this was in Q4 and also commenting on the Road division. So this basically means that you're now starting to see volumes coming down. And obviously, this is given the economic outlook that we have into 2023. This is basically what you say you expect to continue. I don't know if you could add kind of some anecdotical evidence or anything you hear from customers just in terms of kind of what are they seeing out there also with inventories being on the levels that they are? My second question, a bit more detailed. So when we look at the wage costs, and even if we strip out the DKK360 million in retention bonus in Q3. I still calculate a 25% salary growth per FTE, which is up from 7% in Q2. So could you please tell us, will this 25% continue? Or what kind of normalized wage growth should we be looking at per FTE, please?
Jens Bjorn Andersen: Well, at least we've not been out and giving increases of 25% per FTE, so there must be something that we will have to dive into in the numbers, whether there's some accrual or whatever that needs to be taken into consideration. That is clear because I don't have the answer off the bat. But we -- the cost has not run out of control. I can guarantee you that. And then if we look at the anecdotal stuff -- of course, we see that the warehouses, they are full many of our customers. They have reduced inbound shipments on the retail side. And they're running campaigns in order to reduce inventory levels because, of course, the consumers they are worked right now and they try to -- what can I say, has by a little bit cheaper because they have energy costs they have to look at and also other prices have gone up, such as price for food, et cetera. Interests are also coming up for those that have variable interest rates on their loans. So it is a situation like normal where you see that there's quite a bit of nervousness in the market. There are various anecdotes, but some of these anecdotes, they drive a situation where things they basically extrapolate on them so that it's [indiscernible] out of controlled debate. This is also the reason why internally that, for example, on the warehousing side, we look at the number of order lines across the board because sometimes you have a retail client that one week is down 30% on volume and then people start to extrapolate on that. And that's why we look at the overall figures in the company. And here, we still see that we are still outbounding at higher volumes than we did last year. And I think that's basically the bottom line. And that's also here in October. So I hope that makes sense.
Michael Rasmussen: And Michael, do you have done some thinking in the meantime.
Michael Ebbe: It was just to the comment about the 25% increase. I think if you look at it quarter-on-quarter, I think you need to bear in mind that it's only half of the period where we have GIL included in the comparative figures. I don't know whether that can play a role here as well.
Michael Rasmussen: Yes, I'll look into that. It's obviously difficult for us to strip out. But thank you. I'll talk to IR on the details, Michael.
Operator: Thank you. And our next question comes from the line of Dan Togo of Carnegie. Please go ahead. Your line is open.
Dan Togo: Thank you. I would like to stay on the cost subject here. Because you also mentioned that in the report that you are seeing some cost inflation, obviously, rates, et cetera, are coming down, but your own OpEx, where it’s specifically are we seeing the costs inflating? Wages, of course, is some -- one of the items, what other cost items are inflating at the moment? And what should we look out going forward for this to continue? So that's the first question. The second question is on the Road part. Road Way Forward is, of course, one of the keys to -- for road to improve conversion ratio and we are staying well below the 30% that you are aiming for. When should we look out to the 30%, is it being feasible, I guess, in a scenario in ‘23 with volumes under pay will be difficult, but it is maybe on -- in one of the quarters in '24, just to get an idea of the projection here, that would be helpful. Thanks.
Jens Bjorn Andersen: When it comes through wage, I can say a little bit about that, then, Michael, if you wanted to elaborate. But it's the main component of our cost base below GP. It's obvious and also plays a role on above GP for the blue collar workers that we have in our company. Of course, we do expect we already see pressure on the wages. This is something that needs to be pushed over to customers in terms of price increases. There's no doubt about that. That is a little bit of a blurry picture, especially in Air & Sea right now where the volatility is higher than ever before and rates are dropping and what would rates have been, what would customers have paid to us without inflation. It's something we don't know. But I'm sure that we will make sure that we will pass on the effects of inflation to our customers also. Apart from that, it's of course, surprised the cost of energy in Europe for running our warehouses in certain cases that can be a significant amount. Also here, we need to put that on the prices, on the rates to clients. It could be cleaning, it could be all other kind of costs that we have of running the company, but the main part is still the salary level for our staff. Michael or Jens on the other --
Michael Ebbe: Like you mentioned, I think it's across the both energy, IT licenses, salary, it's across the both that we see the pressure from inflation.
Jens Lund: Yes. But I think it's very important that we look at the conversion ratio and how we've handled that historically. If the dynamics handle in the way we price our services, of course, we take that into consideration. That's clear.
Michael Ebbe: Jens, on the Road Way Forward and the conversion ratio target --
Jens Lund: Yes. But the Road Way Forward conversion ratio target is at the end of the day that we have to make that target happen when our financial targets they are set. And it will be a sliding progress where, of course, you will get the network impact I guess, a little bit later on in the project and all that. But that doesn't mean that we don't work on it and that we are making progress as we go along. And as you rightfully say, then it's probably going to be a tough year '23. If volumes get under pressure, we are typically trying to protect our conversion ratio and then we will probably not make a lot of progress on that. So perhaps you model something in, in '24, '25, '26, that's sort of where we have our targets and that we get this gradual improvement because we do see that we’ve managed to digitize further our flows and that we get into a situation where we can automate more of the work than we're actually doing today.
Dan Togo: That’s good. Thanks a lot.
Operator: Thank you. Our next question comes from the line of Ulrik Bak at SEB. Please go ahead. Your line is open.
Ulrik Bak: Yes. Hello. And thank you for taking my question. Also two from my side. First of all, on the yield, normally we see a delay in the yield development compared to the spot rate development. So how long if you can say anything about it, if this delay at the moment for air and sea, respectively? And will we see a significant decline in these deals going into Q4 compared to what we saw in Q3? That would be my first question.
Jens Bjorn Andersen: Yes, you're right. Of course, in a declining environment, it's traditionally beneficial for freight forwarders. I would say, though, that that period has been shortened compared to what we saw. There's more focus from our customers. I've been in several customer meetings where, of course, customers want to make sure that they also benefit from the declining environment. So if we try to estimate something like maybe four weeks and maybe we said in the old days prior to COVID something like six to eight weeks, I think that would be the right number to put in. And in terms of how fast it will go with the yields coming down to the levels, again, it's impossible to say, we simply don't know. We are trying to find the balance, of course, between maintaining high yields, but also retaining the volumes. And we have all [sugarcanes] (ph) internally in DC that we are not losing business right now. We want to be competitive, and we will continue, hopefully, to outgrow the market. And of course, that is also one of the reasons that we do believe that yields in certain cases will come down to the level that we have indicated previously.
Ulrik Bak: Okay. Thank you. Then my second question is related to solutions. As you mentioned, the EBIT margin dropped quite a bit in Q3 compared to Q2, but you also said the bigger variance in this segment, but solutions being more asset heavy compared to the other division, how do you ensure that you will protect the margins and solutions in the financial downturn that we have probably had it for.
Jens Lund: I think there are basically two components and solutions that are very important when we run that operation. One is, of course, that we can adjust basically the capacity we have on the blue collar side, and I think we are in a constant situation where we hire from labor brokers. So we should be able to have a fairly quickly adjustment of the capacity required on the put away pick-pack ship operations that we are doing in solutions. The other one is on the warehousing side, of course, where you would have rented space. There are two ways you can secure yourself when it comes to that. One of them is that you have a portfolio of warehouses that turn over and where you have the possibility to reduce the number of locations so that if the volume of your customers had strengths, then you can also shrink your footprint as well. The other way you can secure yourself is that you have some commitments in there from the customers so that they are committed to, what can I say, the capacity we have made available for them as well. And I think we use all the levers that I just explained to you. So I think we will be able to continue to drive the Solutions division forward. I think it's made a lot of progress. And as you say, sometimes also depending on what projects campaigns, things like that, that actually take place in solutions, there is some variation in the quarters. But I think if you make a trend line and at least this is what we do internally, we kind of like what we see. And I don't see that there's anything fundamental in the strategy that we have on solutions that should change the progress that we are making. I think we have -- we are very crisp on the strategy and exactly what it is that we need to do in order to continue to execute. And of course, if you have a downturn, it will also impact solutions. But don't expect us to sit with a lot of capacity that is idle. I think we’ll plan further.
Ulrik Bak: Thank you so much.
Operator: Thank you. And our next question comes from the line of Muneeba Kayani of Bank of America. Please go ahead. Your line is open.
Muneeba Kayani: Thank you. Good morning. So first question, I just wanted to understand on how you source capacity in air and sea. And specifically, how much of it is parked versus contract? And like on air, how much of it is on dedicated freighters and how you're thinking about that in a declining yield environment? And then secondly, your competitor this morning talked about focus on product mix. How do you think about product mix? Has that changed for you during the pandemic? And would you look to change it going forward?
Jens Bjorn Andersen: Thank you very much. Good questions also. I think it's a little bit, is of course, tempting to say we will change our product focus only towards growth segments now and all the segments which are not growing, we will leave them behind. It's not as easy as that. We have a concentrated customer portfolio, and we will support all our customers also the ones that are not growing. We cannot change that focus from one quarter to another. Having said that, of course, we also understand which segments and verticals are growing and which verticals are not growing. And of course, we have -- what you say, high ambitions on verticals like health care and pharmaceuticals and other verticals, which are still growing. It's also very important to say it's not like everything is falling over a cliff or anything like that. So we have some super interesting projects with some new customers also that will hopefully enable us to grow going forward. When it comes to the way that we procure both air freight and sea freight, it's fair to say that we are -- have always been short in DSV. We have never speculated. It's been a little bit against us in periods where our rates went through the roof, where we were more in the spot market. But right now, I can tell you one thing, it feels pretty good to be heavy on spot and not having too many long commitments with the asset owners. So on air freight, two-third of what we procure is on spot, maybe 20% on charter and the rest for -- in our own air charter network, where we are also having back-to-back commitments with our customers. On sea freight, maybe we have a little bit longer contracts, but also, again, supported with agreements from customers who are actually honoring the agreements that we have made with them now, which we also would expect, even though rates are dropping.
Muneeba Kayani: Thank you.
Operator: Thank you. Our next question comes from the line of Sathish Sivakumar of Citigroup. Please go ahead. Your line is open.
Sathish Sivakumar: Thank you. I've got two questions here. So if I look at your FTE between Q2 and Q3, obviously, that has come from DKK31,700 to DKK32,600 odd, how much of is it actually seasonality? And what does the -- your typical churn would look like in a normal year? Any color on that would be helpful. And then in terms of the road, you mentioned that it's turned by higher activity levels. Can you just give us like clarity on how much of it's actually pricing versus the volume growth that you saw in Q3? And also, you plan slowdown in business to consumer and retail shipments. What was your exposure in that vertical back in 2021? Thank you.
Jens Bjorn Andersen: Maybe I can take one of the questions and then Jens and Michael can elaborate, because you raised a really good point about churn, which is a very effective way for us with less drama, so to say, to kind of work on the cost base. The churn of our white collar employees typically is around 15% to 16%, absent of what you say, restructurings and association with acquisitions. Then you could argue that in more difficult times, that number would come down, but it would always stay double digits. And that's a very good and effective way to kind of reduce the headcount number and also the -- consequently the cost base. I don't know, Michael or Jens, if you have anything to add to the other questions. Yes, the increase -- was maybe you can elaborate on the questions if we did not answer it correctly.
Sathish Sivakumar: Yes. So on the churn rate. So have you started to roll out the hiring freeze as we speak as you go into the Q4?
Jens Bjorn Andersen: In certain -- it's not a one size fits all, but we have started to have hiring freezes in certain countries. It's important to say that in other areas of our organization, things are not looking too bleak. So we cannot use, sort of say the same medicine across all regions and across all countries. But we have initiated these programs. The answer is yes to that.
Sathish Sivakumar: Yes. Thank you. Maybe on the road, if you could just address that. So my question on the road was your exposure in 2021 to business to consumer and retail shipment. What was your exposure? And any color on volume growth or activity growth that you saw in Q3?
Jens Bjorn Andersen: I think our exposure to the retail segment is 20% 2025, maybe, roughly estimated.
Michael Ebbe: And it's not changed.
Jens Bjorn Andersen: No.
Sathish Sivakumar: Okay. Got it. Thank you.
Operator: Thank you. And our next question comes from the line of Lars Heindorff at Nordea. Please go ahead. Your line is open.
Lars Heindorff: Thank you. A question regarding the cash flow. So probably for Michael. This is now the second quarter, if I recall it correctly, where you've seen an improvement, actually, a fairly significant improvement in the net working capital. Hence, also super strong cash flow. You're not guiding for free cash flow for the full year anymore. But if you were to, I would be interesting to hear what kind of expectations you have for the full year? And also about the net working capital, is this kind of a release that this is sort of something which is caused by the changes in the market condition? Or is it you actually working on the net working capital and this will this trend continue? That's the first part.
Michael Ebbe: [indiscernible] says, there's a new tariff in town called Michael Ebbe. So no, I can promise you, Lars, that we are working day and night on the net working capital. So also, it's a great pleasure to see that is actually going in the right direction. If you look at the -- for the cash flow guidance, I would assume that maybe you can look back to see the cash conversion ratio and then extrapolate that to our EBIT guidance and then maybe you can do the math there in order you get close to an estimated cash flow for the year at least. And then for the net working capital, we continue to work to decrease it, and it will most likely decrease in line with the rates when they decline as well.
Lars Heindorff: And then the second question is more general about the market. We have been having over these calls over the past maybe one or two years, several discussions about loss of market share, mainly towards the ocean carriers. They've been able to squeeze, I think, more volume and also more other stuff compared to just the ocean part of the contract on to their own platforms. It will be interesting to hear your comments if maybe this may be early days still. But if this has -- if this has started to change, are you seeing any change in that behavior from the customers?
Jens Lund: It's a tricky question, Lars. We don't want to comment too much on our suppliers and our relationship with them. What we can say is, as you correctly point out, we have seen situations where few shippers have gone directly with the asset owners as such, there's nothing new in that, that has always been the case. But as you can also point to the fact that we've also seen a kind of a different kind of direction where also some clients shippers have moved to freight forwarders most recently. So it's a little bit complex, but we are not concerned about the competitive landscape we are in. Our company is strong. We trust very much our asset-light business model. So we are confident also about being able to outgrow the market going forward.
Lars Hejndorf: All right. Thank you.
Operator: Thank you. And our next question comes from the line of Alexia Dogani at Barclays. It looks like they disconnected themselves. So we'll move to the next question which is from Sam Bland at JPMorgan. Please go ahead. Your line is open.
Sam Bland: Thank you. I have two questions, please. The first one is on the sea unit margin, came down but only slightly, obviously a lot slower than spot rates came down. Do you attribute that and it probably also came down a bit slower than some competitors as well. Do you attribute that to the net short position that you talk about? Maybe there's some FX help as well, but do you think it's mainly that net short position, which is meaning that isn't falling faster? And the second question -- yes, I can ask the second question after --
Jens Bjorn Andersen: Yes. But this very -- the answer is yes, you're absolutely right, Sam. It's the main contributor to that. As I said before, of course, six months, nine months ago, it was super tempting to be long in the market to go out and take some large chunks of capacity, log in the rates for many years. We've never really done that and not to a large degree anyway, and we are very happy about that. So we don't speculate as such in future rate developments. We don't think that is the job of a freight forwarder. So we are short sometimes that goes a little bit against us. Now it's benefit us in the last quarter, you're right.
Sam Bland: Okay. And the second question is on -- you mentioned briefly contracting a lot of talk about whether it's the carriers or maybe with your own customers locking in more long-term agreements over the last few quarters out sort of broadly, how well would you say these contracts are holding up and the terms being on it? Thinking particularly sort of on both sides your customers with you and then also you or, let's say, freight forward is generally with carriers? Thank you.
Jens Bjorn Andersen: I actually think they are being honored at this moment in time to a large degree, which they also should -- I mean, if you make an agreement as a ship with a freight forwarder, you should honor that if you make an agreement with the shipping line, the same goes for that. So I think that is -- that's the situation right now. Of course, it can change going forward, but we have not seen any signs of that.
Sam Bland: Okay. Understood. Thanks very much.
Operator: Thank you. And we have Alexia from Barclays back on the line. Please go ahead. Your line is open.
Alexia Dogani: Yes, apologies. My line dropped. Right, two questions, please. Just firstly, on the industry dynamics with regards to other freight forwarders. Clearly, we can see an overcapacity coming in the sea freight market and belly-space returning in the air freight. What is the kind of capacity dynamics in the freight forwarders? Are you seeing any incremental investments from your direct competitors? And what does that mean for yields in your industry? Obviously, I appreciate the relationship with the underlying capacity and still holds. So that's one. And then secondly, how would you describe the M&A environment at the moment, given kind of what's happening in the market? Thanks.
Jens Lund: Yes, I think if we look at what's the behavior and the dynamics in the market, I mean, we are a broker, we sit in the middle. We make a lot of services. We produce a lot of services, which is the bulk of our GP. We also make a small markup on the containers we procure. And of course, that is basically what would be sort of reduced going forward because it's going to be competitive. So like the rates for the carriers have come down. Basically, our markup come down. Typically, 75% of our income has been on fees for services that we render. And that's been fairly stable also historically. And I think that's also basically included in the expectations for GP per unit that we have discussed early on. So I think this is the dynamics when it comes to this. When we then talk about the M&A market, I think there's still some kind of a gap between what sellers expect and what potential buyers are willing to pay. And I think this will continue for quite a while. This normally rebalances when you have a situation where the sellers they need money. And they don't -- what can I say, cannot continue to operate the business without making some more dramatic changes. So right now, I think we're going to see this slowdown in the M&A activity. And then once, what can I say, the market has rebalanced. We will probably see it pick up again. And of course, as usual, we are focusing in DSV on, can we make a business case or not? And if you measure on the last sort of three major transactions we've done, I think we have shown that we are disciplined when it comes to that. And we will also stay disciplined going forward.
Alexia Dogani: And sorry, can I just ask a clarification on the first one, do you see basically your sales organization going after working harder to maintain your volume footprint? Or do you think things are stable?
Jens Lund: No. I think, of course, in a situation where volumes are dropping, the sales teams have to work extra hard in order to keep the volumes, but we've also given an instruction that we don't want to give up on volume. So let's try to be extra aggressive right now, both on our own volumes but also on getting volumes from our competitors.
Alexia Dogani: Great. Thanks you.
Operator: Thanks you. Our next question comes from the line of Stig Frederiksen of ABG Sundal Collier. Please go ahead. Your line is open.
Stig Frederiksen: Thank you very much. Hello, guys. And Congrats on fantastic results these days. Two questions from my side. Firstly, on GIL, now you have closed the integration successfully. And you -- I think specialized in a DKK1.1 billion, but you're still maintaining minimum of DKK3 billion impact totally on EBIT from GIL. Could you maybe be a bit more precise around -- now you have closed the deal, what is minimum DKK3 billion? And secondly, on the DKK3 billion share buyback program, just to clarify, you don't have any shareholders with any lockups, I assume. So should we assume that some of these DKK3 billion could be used for some of the overhang around the stock. Thank you.
Michael Ebbe: I can answer that one. As for the deal integration, we keep to what we have said. It's correct now the special items program as such is over, and we stick to what we've said at least the DKK3 billion. It's difficult for us to separate cold and hot water for that matter now since we integrated them so fast. In terms of the share buyback for the DKK3 billion, the first one here, there are no lockups or anything. So -- but we haven't had any dialogue or anything about whether someone should do anything about it.
Stig Frederiksen: Perfect. Thank you very much.
Operator: Thank you. Our next question comes from the line of Parash Jain at HSBC. Please go ahead. Your line is open.
Parash Jain: Thank you. I have two questions. And maybe first on a gross profit on an ongoing basis, comparing it to pre-COVID versus now. Have you seen the mix changes for good in terms of how much would be contributed by just sourcing air and sea capacity versus all the value-added services that you offer? As was the mix, like two-third, one-third has it changed? Is it fair to assume that the non-air and sea procurement part of your revenue or gross profit would be much less cyclical even if we are facing headwind going into next year? And my second question is with respect to M&A. I mean, has the activity slowed down, are you seeing the valuations came off for any of the transactions that you have looked at in the last six months or so? And have you seen competition increase because some of your suppliers has excess cash as we speak.
Jens Bjorn Andersen: Yes, I'll try to have a go at these two questions. So on the GP and compared to pre-COVID, you're right in saying that the last -- during COVID, the markup has probably been higher than what it has been. It has also been associated with more difficulty to source and capacity for our customers. So I think it's also fair. We benefited a little a little bit, yes, during the period with very high rates, both for air freight and sea freight. And when yields are coming down, it's more that part that influences the yields. So it's a correct assumption that you make that the -- what some of you call value-added services on non-sea or air freight activities are playing a bigger role and that they will not be cyclical as such. They are not. If you buy a transportation insurance or customs clearance declaration at DSV, it's a fixed amount. It's not a percentage of the rate itself. So they will be kind of more stable in nature. That's a pretty good point you are making. When it comes to M&A, I can only kind of detail what Jens said before, it seems like it's taking a little while before the reality things in among some of the owners of assets which are for sale, but we will assume that everybody understands that valuations have come down, and that, that will be reflected also in the conditions that you would expect to receive from your -- for your company, if you wanted to put it on the market. The competitive landscape, the beauty of being a very vocal and open about wanting to do M&A is that we -- I would say we know about, if not all, then most cases. We are being contacted. People know that if you have an asset, you can always give us a call. That does not mean that we are interested at all, but we have a fairly good understanding of what goes on -- so as such, we are happy and we think that we are committed to continuing doing M&A, but also, as Jens said, on the right terms and also in a very disciplined manner also.
Parash Jain: Okay. That's very, very helpful. Just if I can seek further clarity on the first question. Would you be able to share like some ballpark number in the sense that how much was your non-air non-sea, value-added kind of services contributed to GP, let's say, in 2019. And let's say, 2023, 2024 is the freight rate, whatever level it may once it reset to a normalized level, would contribution from your value-added service will be markly higher than pre-COVID level? Or it will revert back to those levels again?
Jens Bjorn Andersen: I think what you need to bear in mind here, the way I see it, we are a different company from pre-pandemic level. We acquired and integrated Panalpina. We have acquired an integrated GIL that has given us even broader global presence, a stronger network, better being able to utilize the network that we have that also need to be taken into account when you try to do the detailed analysis of how our GP will sit. So I think that's also one thing that you need to bear in mind.
Parash Jain: Lovely. Thank you so much and have a good evening.
Operator: Thank you. And we have one further question on the line, that's from the line of Nikolas Mauder of Kepler Cheuvreux. Please go ahead. Your line is open.
Nikolas Mauder: Hi. One question from my side. The presentation mentions an extraordinary general meeting on '22 November. Is there already an agenda for that beyond what you mentioned on the slide? And what do you want to discuss there, what that cannot be done on the regular one in March '23? Thank you.
Jens Lund: The only agenda item on that one, that is the reduction of the share capital as a follow-up to the share buybacks that we have done.
Jens Bjorn Andersen: And try to elaborate why that is necessary also.
Jens Lund: That is -- we have this authority that we can acquire shares buyback for up to 10% of our nominal share capital. And since we will be playing around with that limit, then we want to make sure that, that we can continue the share buyback. So we are not kind of about to anything, and that's why we will have this EGM with the solely purpose of reducing the share capital.
Jens Bjorn Andersen: It would be such a shame if we had to restrict ourselves during future buybacks due to the fact that we own too many DSV shares. So we just want to eliminate those. So we have a free hand to continue share buybacks into the new year also.
Nikolas Mauder: Okay. Thank you very much.
Operator: Thank you. And as that was the final question in the queue, I'll hand the floor back to our speakers for the closing comments.
Jens Bjorn Andersen: Good times fly when you're having fun. So 1 hour gone. Thank you. I counted more than 13 questions times two. So 13 analysts times two questions. So really, really good. Once again, great questions. You know where to catch us if you want to elaborate on any of the discussions we've had the last hour. We'll be busy speaking to investors now on roadshows on different continents now. Also, we look forward to Q4. It's going to be once again an exciting quarter. We're actually pretty optimistic about our company. We're in great shape. We have faced in our business model. So we'll tackle ahead on whatever environment has been given to us. So thanks for the interest, and have a good day. Bye-bye.